Executives: Robert Goldstein - Executive Vice President and President of Global Gaming Operations Sheldon Adelson - Chairman, Chief Executive Officer, Treasurer, Member of Nominating & Governance Committee, Chairman of Las Vegas Sands LLC, Chairman of Sands China Ltd and Chief Executive Officer of Las Vegas Sands LLC K. Kay - Chief Financial Officer and Executive Vice President Michael Leven - President, Chief Operating Officer, Secretary, Director, Chairman of Advisory Committee, Acting Chief Executive Officer of Sands China Ltd, President of Las Vegas Sands LLC and Chief Operating Officer of Las Vegas Sands LLC Daniel Briggs - Investor Relations
Analysts: Shaun Kelley - BofA Merrill Lynch Jon Oh - Credit Agricole Securities (USA) Inc. Lawrence Klatzkin - Jeffries & Co. Felicia Hendrix - Barclays Capital Janet Brashear - Sanford C. Bernstein & Co., Inc. Cameron McKnight - Buckingham Research Group, Inc. Mark Strawn - Morgan Stanley Joseph Greff - JP Morgan Chase & Co Steven Kent - Goldman Sachs Group Inc. Robin Farley - UBS Investment Bank
Operator: Good afternoon. My name is Marvin, and I will be your conference operator today. At this time, I would like to welcome everyone to Las Vegas Sands Corp. First Quarter Earnings Conference Call. [Operator Instructions] Thank you. I will now hand the call over to our host, Mr. Daniel Briggs. Sir, you may begin.
Daniel Briggs: Thank you. Before I turn the call over to Mr. Adelson, let me remind you that today's conference call will contain forward-looking statements that we are making under the Safe Harbor provisions of Federal Securities Laws. The company's actual results could differ materially from the anticipated results in those forward-looking statements. Please see today's press release, under the caption Forward-Looking statements for a discussion of risks that may affect our results. In addition, we may discuss adjusted net income, adjusted diluted EPS and adjusted property EBITDA, which are non-GAAP measures. A definition and a reconciliation of each of these measures to the most comparable GAAP financial measures are included in the press release. Please note that this presentation is being recorded.  With that, let me please introduce our Chairman, Mr. Sheldon G. Adelson.
Sheldon Adelson: Okay. Thanks, Dan, and good afternoon, everyone. On behalf of our management team here with me today, I would like to thank all of you for joining us. As you can see from our press release, the company had another record quarter, producing $746 million in EBITDA on a record $2.11 billion in revenue. We played on our luck the in the quarter and on a normalized basis, we would've been just over $785 million, a solid run rate of more than $3.1 billion of EBITDA for a year, which I believe will be a record for any similar company in history. These results amount to the seventh consecutive time the company has increased its quarterly adjusted property EBITDA over the previous quarter. This trend started at the end of the second quarter of 2009, and since that time, we've more than tripled our quarterly EBITDA results from $247 million in quarter 2 of 2009 to the $746 million we reported today. I believe that upward trend will continue for the foreseeable future. Why do I feel that way? Let me explain by starting in Macau with the properties operated by a majority-owned subsidiary, Sands China Ltd., are continuing to enjoy market-leading EBITDA generation. The Venetian Macao increased its EBITDA by $58.5 million over the same quarter a year ago to reach $228 million and a record 35.8% EBITDA margin. Non-Rolling Chip drop which is the mass market tables; Rolling Volume, that's the VIP business, and slot handle all increased over the first quarter of last year. Adjusted property EBITDA at the Sands Macao was $92.6 million, an increase of nearly 33% compared to the first quarter of 2010. Like The Venetian Macao, not only chip drop, Rolling Volume and slot handle at the Sands all increased significantly over the same quarter a year ago. The Plaza Casino at the Four Seasons Hotel, with increases in Rolling Volume and slot handle, also had their best quarter by generating $57.5 million in EBITDA.  Our rolling program in Macau showed a continued increase with contributions coming from existing Junket business and recently added junkets. We recognize we have the ability to increase our presence in the Junket segment, but that will be an area of continuing focus moving forward. Our team is working with our existing group of junket operators, as well as new junkets, in an effort to maximize our position in this segment. We're also working to adapt a diverse physical product to better suit their needs in creating a differentiated service environment for their customers. With continued initiative designed to enhance human capital, customer service and our physical presence, we are well positioned for continued growth for the VIP segment.  We're very pleased with our quarter in Macau. I'm not content to simply leave the current cruise control We have the largest footprint in the largest gaming market in the world. And we are eager to take advantage of this significant organic growth opportunities in front of us, and I have no doubt that we will achieve even greater success in the months and years to come.  In addition to our organic growth opportunity for Macau, we're also looking forward to the opening of the sites 5 and 6 on the COTAI Strip. Although we have made significant progress on Parcels 5 and 6, our anticipated opening of Phase I could slip to the first quarter of 2012 if we do not secure increases in our present construction labor force. As the bulk of the 13.7 million square foot property, the world's largest building constructed at one time, opens over the course of next year, it will profoundly enhance our presence in Macau. We will nearly triple our hotel room inventory with the addition of 6,400 rooms, and thus provide the capability we believe is vitally important to growing with our MICE business in Macau. We will also be adding other important non-gaming amenities, which will include more MICE space, along with additional retail, entertainment and dining.  The opening of this development will be the last significant opening in Macau for the foreseeable future, and will secure our position as the leading operator in the world's #1 gaming market, thereby expanding our footprint in Macau. In addition, Sites 5 and 6, with thousands of non-gaming jobs, will further help the government in its efforts to diversify Macau's economy. Today, we're just as committed to helping Macau reach its potential as an international leisure and business destination as we were nearly 7 years ago, when we first touched down on Macau and no developer has invested more on behalf of that effort.  So that's Macau. Now let's talk about Singapore. Let me start by saying that the doors to Marina Bay Sands opened 1 year ago last week, and in the 52 weeks since that opening, we have made more than $1 billion in EBITDA, that's U.S. The reason I bring that up is not to remind everyone that I had predicted that we would make $1 billion in our first year, so I do take a little joy in that. I bring it up because it represents just the beginning of what we can achieve in Singapore. We made $1 billion at a property, which for the first several months, was not able to offer a complete set of amenities. In fact, just this past quarter, we opened important visitation drivers such as the ArtScience Museum, a light and water show and Disney's Lion King. My point is that while we reached the $1 billion in the first year, we're still miles away from realizing the full potential of our opportunity in Singapore. Our MICE business, while very strong, is still in the early stages compared to where we'll ultimately be in the months and years ahead. The same can be said for retail, food and beverage and the hotel.  As for our Gaming business in Singapore, I recently saw a CNBC story, which quoted Royal Bank of Scotland predicting gross gaming revenue in Singapore would rise 25% to $6.4 billion in 2011 and surpass Las Vegas as the world's second biggest gaming market. With only 2 of us in the market and with our success in the high margin Mass business, which is now exceeding $4 million a day in Wynn, we're strongly positioned to benefit from that additional growth.  In the first quarter of 2011, Marina Bay Sands Non-Rolling table game drop was $986 million, and slot handle was $2 billion. Rolling Chip volume was $10.1 billion for the quarter, as our marketing programs continue to take hold. Additionally, room occupancy was 86.3% within an ADR of USD $285. Our combined retail and food and beverage revenue was approximately $100 million during the quarter. As I alluded to earlier, we don't see these parts of our business doing anything but continuing to grow. So to say we have additional opportunities in Singapore would be something of an understatement.  Here in the U.S., our Las Vegas properties were impacted by about $45 million in revenue on low hold. Group business continues to improve, and I'm very bullish about our prospects in this segment. Based on our existing bookings, we expect to do more than 700,000 group room nights in 2011, with an expectation of 1 million in total group nights in 2012. Our results for the first quarter show that the number of rooms sold to cash paying customers, our average daily rate and the number of group incrementing customers served all increased significantly during the quarter compared to last year. In fact, 97% of our rooms sold in the quarter were cash customers, compared to 68% a year ago.  One final note on Las Vegas. I'm pleased to announce that we have brought John Caparella as the new President of The Venetian Palazzo. John is very engaging and has deep hospitality experience, which include having served as Chief Operating Officer of Gaylord Hotels. We're glad to have John join us, and we think he'll be a great addition to our Las Vegas operations. Turning to our operations in Bethlehem. Sands Bethlehem recorded its best quarter ever with adjusted property EBITDA of $22.1 million and an EBITDA margin of 24.3%. The hotel at Sands Bethlehem will open by the end of this month and when our plan to stroke on the retail component at the property in the fourth quarter this year. The 300-room hotel will be the largest full-service hotel on the Lehigh Valley, and when combined with our additional entertainment and dining offerings, provides us an excellent platform for growth at our only East-based property.  Finally, let me close by saying that the company's financial position is the best that it's ever been, and we're excited by the various options that keep us moving forward. Our substantial cash generating capabilities and strong financial positioning, coupled with favorable capital market conditions, provides us with a number of opportunities to optimize the capital structure of the company and reduce our overall borrowing costs. There will be more to come on this issue in the months ahead. So with that, Mike is here to discuss any operational questions you may have, Rob is here for your gaming questions and Ken can further discuss our current financial position. So let's go to Q&A.
Operator: [Operator Instructions] Our first question comes from the line of Joe Greff with JP Morgan.
Joseph Greff - JP Morgan Chase & Co: My first question is on Singapore. I think if you look at Singapore adjusted for that unlucky hold and normalize that, the EBITDA result a little bit less than probably where consensus was. As it goes to the pieces and just kind of normalize the hold on the VIP side, I think what would be helpful to all of us, and maybe, Rob, if you can do this, maybe kind of go through where you think the department profit margin is for the various segments whether it's VIP, mass and slots, room, other, because it looks like expenses overall were much higher than I otherwise would've expected or even looking at where it's been relative to revenue growth. If you can help us sort of understand those items going forward, it would be helpful. And if you could give us any sort of sense in terms of April trends in Singapore, that will be helpful.
Robert Goldstein: Joe, we don't see a change in the margins in the casino side. We've told you all along we think we'll be in the mid-50s, perhaps 57%, 58% in the mass slot and table combined. Full percent we told you around 22.5 slots. We see volume growing there nicely. On the VIP roll side, I think we're still in the low 30s. Again, the whole situation, it is what it is, but we don't see the margins changing. It's been pretty consistent in our approach towards the commissions. So I don't see a lot of changes there. And I don't think there was a change in April, if anything, I see increasing margins in mass tables and slots as you grow there. I don't see the margin getting a whole lot better on the rolls as well. It's still being in the low 30s because you're still playing out most of the business is on the very high end and we things as high as 1 4. So I don't see how we get that much beyond 32%, 33%. But I do see a little bit of appreciation as we grow in the Slot, Table Mass side.
Joseph Greff - JP Morgan Chase & Co: And then, Sheldon, you said earlier that you're having some early success in Macau with recently added junket. If you can give us a sense what percentage of the roll. I mean, if you look at all 3 in the aggregate in Macau in the first quarter, but what percentage of the roll was junket promoter-related versus the last quarter? That would be helpful. Thanks.
Robert Goldstein: I'll take the question. I can be a little more helpful. I just came back from a week over there. I guess, it must be clear. We have the best opportunity in the Junket segment, Roll segment, in general, in Macau. We were pleased with our numbers that Sheldon referenced on call. We see -- well, we see opportunity and we see vast opportunity to improve our operations. And Sheldon referenced with service, with people, with spending more capital in the rooms, et cetera. Our role will continue to be probably spread between 80, 20, 85, 15 junket versus direct. We said before and we'll say again, there's a market for the direct VIP, but the primary market in Macau has been and continues to be on the Junket business because of the obvious reasons that we talked about in the past. And our goal is not to -- we've all diminish [ph] (29:38) so our certain people direct to us. We're finding a very, very strong the business for us in Singapore, but the junket piece is the driver of the roll portion of our business in Macau and our goal is to keep driving those segments of the roll. I do think with the junkets that we've suffered some decisions in the past that weren't for the best for this company. We're fixing that. We are working very hard. We don't have a real estate portfolio. We made the decision for this company to be a big player in Macau, and we wanted to be a player in Macau. I think our footprint speaks to that. Our goal now is to grow organically, increase this segment dramatically. I mean, you have David Sisk and Ed Tracy and myself and the people over there are really committed. We just spent a lot of time with all of the different people. I think the truth is, we're going to grow this segment. But it takes time and effort, and we'll probably see appreciation on the junket as opposed to direct because the direct space is pretty fixed. The junket's where the real growth will reside.
Operator: Our next question comes from the line of Mark Strawn with Morgan Stanley.
Mark Strawn - Morgan Stanley: One question on Singapore and 1 question on Vegas. On Singapore first. If you look at the pieces of the business you can control there, maybe junkets at this point are outside of your control, as you look forward, how do you see the growth trajectory of that property? Is it really on the mass side? And how do you stimulate those volumes?
Robert Goldstein: Mark, I'll just take the second piece for a second. I think you can see the appreciation is on this quarter after quarter. It is magnificent to watch. I think the team there is convinced that we're experiencing 20% growth annually. We think we can -- I think that's achievable. It's a 2-horse race, we're privileged to be there. It's a wonderful government. It's a wonderful place to visit. I believe our building is iconic, and in the right place physically to keep improving. I believe our business is the aspirational place of the two. I would say we gained a lot of new players every day. It has never been, in my mind, I've never seen a pleased with this much mass table business consistently, and slot business. And we see the numbers coming out, we see the growth. If you look at our growth in the last, just in the second or third quarter, we were doing $92 million, now we're $96. We're going from $196 million, to $222 million above the millions dollars. The slot growth is unbelievable. We go from $1,358 and winning $80 million to $2,041, win $108 million. Where to stop, that's the question which we can't answer. All we keep seeing is increased visitation, weekends are phenomenal. I don't think there's any end right now to our ability to grow in this segment. It is, as Sheldon referenced, $4 million plus a day. Does it get to $5 million, I think it absolutely does. The question what's the timing. We're in a very good place...
Sheldon Adelson: The good question is how much more does it go.
Robert Goldstein: Right. I don't think there's any question. We don't see any slowdown here. We see appreciation, I see appreciation quarter-to-quarter. Andrew MacDonald and that team, Mark Juliano is there now; Jerry Bock [ph] (32:59), Eric Percy [ph] (33:00). They've done a terrific job of rethinking that pool all the time. That team is very focused on driving slot and table mass. I think it's going to be the, in a word, they may not be any in the market like it in terms of mass business with only 2 players in the market. It's extraordinary. That will be the driver of EBITDA, in my opinion. Sheldon and I discussed this. Sheldon believes that, and I think he's absolutely right, there'll be terrific growth on the Roll segment, but that will come later as we discussed in past calls, our issues there. For today, the real driver in my mind is the Mass business. It is nothing short of great.
Sheldon Adelson: It's a combination of the mass and the high end. But look, people are calling that property the eighth wonder of the world. The non-gaming aspects of it; the rooms, the retail, the entertainment; The Lion King, we thought was going to be limited, but it's turning out to be a winner. We're extending our contract there. And the outside, for example, is attracting a lot of people. The comments that we get from all over the world is just it's an incredible, one-of-a-kind building. If you think of Singapore as to what Las Vegas was many, many years ago, but there are only 2 properties on the entire strip. You divide all of the money that's taken in with all the properties, the 100-plus casinos in Vegas and the 25 or so mega-resorts on the strip, and you divide it up into -- reallocate that to only 2 operators, plus a huge community of very high-end players in back of it, you've get a very, very unique opportunity.
Mark Strawn - Morgan Stanley: One quick follow-up on Las Vegas. As you look at that balance between your comp and your cash and mix, it seems like a pretty sizable impact on the slot handle side. Is there -- did the dial get perhaps turned too far towards the cash side of things? Or is that how we should expect that mix to trend going forward as well?
Sheldon Adelson: I don't know. It seems to me that somebody once said, if somebody wants to give you some money, don't turn it down. Don't throw it back at them, and don't duck. It only confirms the effect that the decision I made to reduce the amount of comps, which was the dogma in Las Vegas. You have to give comps to get people to play. And on slot income, everybody thinks that the practice was to think of the gross income that you have, but nobody looked at the net income. So when people were giving up both free play and RFP and comps, it was just much too costly. So we moved from 68% to 90-some odd percent, I forgot exactly the number. On cash, that's a good thing. So we stopped giving it away and therefore losing money on it, and we converted those into cash. That's a very good thing.
Operator: Our next question comes from the line of Janet Brashear with Sanford C. Bernstein.
Janet Brashear - Sanford C. Bernstein & Co., Inc.: Macau. Could you give us a little update on the progress relative to lots 5 and 6? You said that you wouldn't be able to stay on schedule if you don't get additional labor. I'm wondering in particular if there's any -- while the government is philosophically supportive of you finishing the project, if there's impetus for them to help you speed it up? Or if they rather keep the pace of casino developments slow and maybe aren't as motivated to help you speed it up?
Sheldon Adelson: I think the government knows it's in Macau's best interest to complete the project as soon as we can. And I'd like to say the government has been very helpful, and very cooperative with us on the issue of labor. They haven't given us any special treatment, but they're cooperating as much as we can expect them to do so. So I know that there'll be some people who say, "Well, you talked about getting it ready by the last quarter of 2011. Now you're saying it may be the first quarter." But you know, you can't -- these aren't exact sciences. On the estimates of when we're goint to get the labor. We're a certain number of days lagging in the schedule, and it is possible that we can make it up, make up a substantial part of it. In any event, I don't see anybody, any analyst, estimating any contribution to income in either the fourth quarter of '11 or the first quarter of '12. So it really has no financial impact on anybody's projections.
Janet Brashear - Sanford C. Bernstein & Co., Inc.: Can you remind us what the run rate you have on labor now? And if you're expecting that to continue even if you do not get additional labor?
Michael Leven: Janet, this is Mike. We have roughly about 5,500 on the site now. We're running about 5 weeks behind on the December target. We met there last week. We need to pick up another 1,000 to 1,500 employees in some of the specialty areas like mechanical, electrical, plumbing, et cetera, which are where the problems are. And we're still hopeful we can make that target. But the reason we're talking about possible slipping is if we don't get that extra 1,500 or so, we would probably have difficulty, we will have difficulty meeting the target. And we gradually, increasing last week, we've got 400 to 500 more, and we're hoping as Galaxy opens, we get some more, particularly in that area, probably MEP. So that's our count at the moment. And we track that every week. And I'll be there again May 18 and take another look at exactly where we are at that time.
Janet Brashear - Sanford C. Bernstein & Co., Inc.: Mike, this is one follow-up. Have you made a decision about a brand for the project, whether you want to keep your own brand or find another external operator to brand the project?
Michael Leven: We're talking now to 2 international brands about licensing that product and running it ourselves. We have proposals in that we are going through, and final discussions are being held with 2 major international companies; both of which have significant penetration in Asia, as well as around the globe. My expectation is in within a couple of weeks, I think we'll have an announcement on that basis.
Operator: Our next question comes from the line of Shaun Kelley with the BoA Merrill Lynch.
Shaun Kelley - BofA Merrill Lynch: I just wanted to ask quickly going back to Singapore, either the VIP side has been an area of big interest for folks, and wondering if you guys could give us a little bit more sense of what you've learned by month and any read do you have on April. I'm specifically looking at March and April because one thing we're trying to understand is how much of an impact Chinese New Year had and what kind of the run rate in that business is going forward?
Sheldon Adelson: Chinese New Year was not in April. It was in the first quarter. We're starting the -- well, we're undergoing the shorter phase of Golden Week right now, this week. Without violating our no-guidance program, I think those people who think that we'll significantly increase our continued ramp up will smile after we release the figures. I think that's all I can say. If we're not giving guidance, I can't say anymore. People who look at the upside and are optimistic, will find that April, in all respects, was an excellent month, in all properties.
Robert Goldstein: It's Rob. I don't think that -- obviously, we're -- We're over a year into this thing in Singapore, the one thing we all know is, obviously, Chinese New Year's very powerful. And when it falls, obviously, the calendar new year is critical. I don't think we're seeing a lot in terms of -- the one thing we've learned is the holidays are all very important; Easter, where there is a 4-day holiday, Easter Monday, Saturday, Sunday, Friday. It's wonderful. It goes on for 4, 5 days; the Same thing in Macau. But I think at the end of the day, I'm not sure that unlike Las Vegas, for example, it's very seasonal with the heat this summer impacts the group, et cetera. I don't think our Roll segment in Singapore, you're going to see significant impact by the calendar. The more I'm there, the more I think it's just simply driven by there's demand every day. The quarters won't be that much different in my opinion. The fourth quarter has its holidays, so does the first quarter. Perhaps this summer, last year we had a very strong summer. We'll see how this summer holds up. But it seems to me that the real key to Singapore is not seasonality. It's just growing the business and find the customers and then finding us. I get the impression that the growth will be there. It's not driven at this point. It's a new product. It's a new market. I don't think the calendar or seasonality is the most important, just people finding the property and getting there and liking it. And the rate of reservations are picking up. Sheldon referenced the very strong April. We're very strong in April. But I don't think it's going to be driven by -- the Asian market demands for gambling has been very, very strong, as you all know. I think that's a bigger driver than perhaps seasonality at this point in our experience in Singapore.
Shaun Kelley - BofA Merrill Lynch: And then, I just want to go back to the opportunity for the glass is half full as relates to junkets in Singapore. You guys have been pretty conservative in terms of some of your interpretations, some of the roles there. And just kind of wondering, I believe the general election has been scheduled now in Singapore. Kind of what do you think are the next opportunities, the next kind of pieces to get junkets legalized there and maybe your thoughts on the timeframe.
Robert Goldstein: I think first of all, Shaun, I think we follow Sheldon's direction in terms of our strict interpretation of existing roles as we see them. And that will restrict our ability to grow as quickly perhaps as we might if we were more liberal. But I think it's the right approach until the government gives further guidance and a kind of strict instruction approach to it. Having said that, I think junkets, there's now 31 companies in the queue as we speak. I think that'll grow to 30, 40, 50 by the time summer rolls around. It grows everyday. There's some very good publicly-listed companies in that group. I think it's clear to see that the government is going to, at some point, make some decisions about these complications. And we're certainly in the line to be involved with them if, in fact, they are prudent licensed and will wake up and guide us. And in the interim, we'll do our job internally by not dealing with anybody we think is not licensed, not in practices that could be questionable. We adhere very, very strictly to Sheldon's direction and, we think, the direction of the Singapore governtment. And again, I think it's going to be a progression, a process, and we'll keep you posted on how it turns out. But there's going to be some license decisions made in calendar year 2011 in Singapore. I think that's pretty clear.
Shaun Kelley - BofA Merrill Lynch: And one last one for '10. There's been some discussion out there about some potential refinancings for you guys, I think in the Macau side. Ken, could you give us a little bit of your thoughts about opportunistically, I think some other operators in Macau have looked at tapping similar cost financing recently. Just kind of what you might be considering on that front?
K. Kay: Yes, we do have significant opportunities there. I think the market conditions are favorable. We've had some preliminary conversations with some of our lenders. And obviously, we haven't finalized anything yet, but we do have an opportunity to refinance our operations in Macau, which would generate some significant savings from an interest perspective.
Operator: Our next question comes from the line of Felicia Hendrix from Barclays Capital.
Felicia Hendrix - Barclays Capital: Rob, I have a question for you in Macau. I know you have all talked about and we've both seen and witnessed the strength of The Venetian. But obviously, there's a variety of different scenarios that can occur in Macau after Galaxy Macau opens. And one of those is that the environment gets promotional. So I was just wondering if you could discuss what your plans would be in such an environment and have you started at all to implement any new marketing programs ahead of that.
Robert Goldstein: No, first of all, I think we feel, I feel very strongly that the Galaxy is a big contributor to the COTAI portion of our business. I think it's going to be very good for COTAI to drive more visitation. That's a good thing. We saw that with City of Dreams. We welcome the Galaxy opening. We're excited about it. I think at any Galaxy would be more of a junket-focused player. It will bring mass. I think our belief, my belief more than ever, privileged to be in COTAI with The Venetian. The property is a must-see property and traffics a lot of people because it's got great things for a lot of different parts of the market. It's very well segmented. It's a building people want to see. It's interesting. The shopping is outstanding. The room count is great, a diversity of the food and beverage, entertainment. I think we're going to benefit greatly by Galaxy. On on the junket side, I don't think Galaxy is going to impact us positively or negatively. Our job is to seize the opportunity to just be a better player in the junket portion of our business. That segment has suffered, and I think we need to get better at it. I think the Wynn results point that out how much opportunity there is there, and we'll just simply work on it. But I think with Galaxy's opening, I'm a strong believer. It's great for COTAI. It's great for the vision of this company, and I think it's great to The Venetian as a mass player. I don't think it impacts the Plaza, Four Seasons as much. But when you walked into The Venetian, it is a force of nature. It is a must see place, and I think every person who comes to the COTAI section in Macau will make a stop at The Venetian. I'm pretty confident. In the walk we did last week, it just gets busier and busier. And it's a reasonably different level of importance I think in Macau. And I think Galaxy is real positive for us. As to the promotional issues, I think the Galaxy people are going to focus on making money and watching margins that I don't think it's going to be an issue. Our team is watching it very closely and debate it all over. I think if we have react, we will. But we have to protect The Venetian. It's a very important part of our Macau strategy and is a unique player on the COTAI Strip.
Felicia Hendrix - Barclays Capital: And then just moving to Singapore, I wanted to get back to the question of margins and some of the cost. So sequentially, the margin's growth, the EBITDA margins were lower. I was thinking it might be seasonality, but you had mentioned that there really isn't a lot of seasonality. So there were some higher other expenses in the P&L that we saw. I was just wondering were some those maybe preopening from some of the non-gaming things or is this kind of an EBITDA margin that we should think about.
Sheldon Adelson: I don't think any -- we haven't had any margin compression from any of the operating sides. In fact, those operating margins are actually expanding. Our rooms profit, our food and beverage profit, or our retail profit, all those are expanding. I don't know of anything. Do you know something specific, Felicia, that you're talking about?
Felicia Hendrix - Barclays Capital: I wouldn't have expected the sequential decline in EBITDA margins.
K. Kay: But we do have a hold of 2.56%, obviously.
Felicia Hendrix - Barclays Capital: Yes, but you gave us the adjusted EBITDA margin of 53.2%
K. Kay: Yes, that's true.
Felicia Hendrix - Barclays Capital: So maybe we chalk it up to seasonality.
K. Kay: This is Ken. I think it's predominantly driven by the hold. I mean, really think that that's the biggest issue. Now looking at the margins for the fronts, the hotel and also the food and beverage, as Mike said they both have expanded. So we didn't have a reduction in margins from those. The only thing I could think of potentially is we have new activities that are opening up that haven't ramped up from a revenue standpoint. Then there's the possibility that...
Sheldon Adelson: I have an answer. Ken has taken a more conservative approach to the accounts receivable. He put aside bigger reserves than what we wanted to do. So but we've caved into his conservative approach, at least for this period. That doesn't mean we're going to follow it in the future. He just put aside more reserves than what we think were warranted.
Felicia Hendrix - Barclays Capital: Conservative is good.
Sheldon Adelson: Being conservative is good. And I can't say it's bad, but if you ask the question, there's no other reason why that expenses would've been higher. And I think that amounted to about, what's the number, Rob? About $11 million? Excess reserves of what we think, of what the operating people think we should have taken. But we caved in to what he said because as you say, Felicia, it can't hurt us to be more conservative.
Robert Goldstein: Felicia, it's Robert. I just want to make sure you put clear to it and set it out to anyone that the most important single piece of business in Macau, I think Singapore would just be Non-Rolling Mass slot and table. The margins remain stellar. If anything happens in this growth, as you get more, obviously, more revenues of those games you saw, I don't think that's any issue there. And I do think the hotel is now running like a Las Vegas 2007 hotels. Got running high 80s and high occupancies and high rates. And if anything, margins should get better. I think we're getting stronger, so we should do better, we should show stronger.
Felicia Hendrix - Barclays Capital: And I know you're probably aren't going to be able answer this or none of us are going to be able to answer this until Genting reports and we parse through their numbers, but do you have a sense at all of what you're mass market share was and your VIP market share? Maybe not specific numbers, but did you grow, decline or any view there?
Sheldon Adelson: Generally speaking, I think that our mass-market is -- everybody says, everybody seems to know say that MBS [Marina Bay Sands] is capturing a, I won't say runaway, but an increasing share of the mass market, and we're quite happy with that. We're capturing a lesser share of the VIP market because I don't want to get into details about the junket reps or anything, but they seem to like to pay higher commissions than what we want to pay. And so we think that they will come out with higher roll because they're what we call in the trade, we call they're buying the business, and we choose not to quote by the business, although we are being somewhat more flexible on the commissions. But we don't want that to be the final arbiter of who's got what percentage of the market. Eventually, people will come to the MBS and enjoy playing there. And even if we pay a little bit less, we have stated in the past, we don't want to get into a commission war. If we get into a commission war, we won't get in it for the purpose of losing. So we think that before we get on that horse and gallop into a commission war, we're going to see what happens when the government finishes its investigations and allows or disallows junket reps and how many of them and who they are, et cetera. So we're biding our time until those decisions are made.
Robert Goldstein: It's Rob again. On that issue, I think it's clear that our ability as to outroll is significant. I believe that, that trend will continue and it's also initial [indiscernible] (55:17) seasonal market versus us. But I must tell you that it's not because our goal is equally or better. Our people are equally better. I think the truth matters if we choose to compete in that fashion, we can flip that switch on pretty quickly if that's the direction that we're given. So I don't think it's a market difference. I think don't think it's a building, or people difference. I feel our team in the field is as good as it gets on the casino sales side, and our team on the ground is as good as it gets. If, in fact, we choose to rethink that approach, it would be difficult to compete with them. I do think our Mass business, I'll be very surprised if we're not stronger than RWS by quite a bit. I think our Mass business is showing up the strength of that building and the consumers [indiscernible] (56:04) with their dollars, and I think you're going to see a nice movement in our favor in that regard.
Sheldon Adelson: I'd like to add that in the recent past, since we opened MBS, we have increased the number of sales people in the field substantially, by dozens. And we have well over 100 people out there that's in the field bringing in the higher-end customers, the premium customers that will be considered the premium direct customers at the lower rates, the VIP customers. And this is something we never had before. We could justify 125, 150 salesmen in the field with only Vegas for them to come to. And we were staying with the junket reps in the market in Macau because they own a substantial -- they own such a substantial portion of the market there. So now with Singapore and with Vegas and whatever premium direct that we can build up with, their junket reps don't have any penetration. This is quite unusual for us. Well, it's not unusual, but it's really unprecedented. And we're going to continue to cultivate that direct sales channel. And we think that'll help us significantly in the future.
Felicia Hendrix - Barclays Capital: And then just quickly on Las Vegas, I was just wondering what the ADR group rate you were looking at in 2011 and in 2012, what you were seeing so far.
Sheldon Adelson: Last time I talked to salespeople -- Mike, do you have -- I think it began with 2.
Michael Leven: 180 in '11, the group rate. And it's up to about -- it's close to 212 so far.
Sheldon Adelson: Eric told me that most of the business began with a 2.
Operator: Our next question comes from the line of Robin Farley with UBS.
Robin Farley - UBS Investment Bank: I wonder if you could give a little bit more color around the Singapore margin issue year because you mentioned $11 million in excess reserves. If I add that back in your EBITDA adjusted for hold, I'm still getting a margin that's down sequentially and maybe a little less than we would've expected. So I don't know if you can give a little bit of color on just sort sequential changes in margin and some of the segments. And I don't know if there was anything non-recurring from opening costs or something in Q1, but just to -- or more specifics around those receivable numbers, the reserves just so we can see how the margin would've looked or maybe what you're seeing that we're not seeing?
Sheldon Adelson: Question. I don't see anything
K. Kay: What are you getting to?
Robin Farley - UBS Investment Bank: If you're adding $11 million and it gets you to something along the lines of $52.3 million as the margin and just looking at the downturn sequentially.
K. Kay: I think you need to add it to the hold adjusted EBITDA margin. Right?
Robin Farley - UBS Investment Bank: Yes, I did. Yes.
Sheldon Adelson: There's nothing unusual.
K. Kay: I just did the math. I came up to a margin of about 55%.
Robin Farley - UBS Investment Bank: Did you add back the hold adjusted revenues into the revenue base as well? Because in theory, you mentioned that has about $30 million in revenues, and so you'd have to adjust the base, and so that might bring the margin down.
Sheldon Adelson: Robin, let's compare that to any other company in the hospitality or leisure industry. I mean, these are phenomenal numbers.
Robin Farley - UBS Investment Bank: These are phenomenal numbers. But I guess we're just trying to get to what you expect going forward. And so I know you won't give guidance on that specifically. So all we can do is look at that sequential trend and say, "In what direction does this margin moving in?" Just trying to help us understand what direction it's moving given just the sequential change here. [indiscernible] (1:00:16) number...
Sheldon Adelson: We'll take out some more magnifying glasses, take a closer look at it, and we'll try to get back to you offline. We don't -- there's nothing that we know of that will impact the future trends.
Robin Farley - UBS Investment Bank: And in the past, you've expressed an expectation to sort of generally, without giving guidance, that there would be kind of sequentially EBITDA growth quarter-to-quarter in Singapore. Is that still -- is that correctly interpreting what you said in the past? Is that still your expectation going forward?
Sheldon Adelson: I don't understand what you're saying.
Robin Farley - UBS Investment Bank: Do you expect EBITDA to go up sequentially every quarter as you've said previously in the second quarter?
Robert Goldstein: It can't go up sequentially every quarter based on seasonality, but it should go up on an annual basis. So if you compare the quarter sequentially. What you want to do is look at the third quarter when we finally get quarter-to-quarter comparison year-over-year versus the third quarter of last year to see if it went up that way. I don't know if you can make the judgment that sequentially you're going to go up each quarter versus the last quarter.
Robin Farley - UBS Investment Bank: That was a comment that management had made it out as you expect to ramp up in year 1. So that may not be your expectations.
Sheldon Adelson: Listen. Making $1 billion from the start is not underachieving. It's not underwhelming. Nobody has ever done this before. Nobody has ever done this before. There was nothing, Robin, in our expectations that will cause a speed bump. But in the nature of human and commercial activity throughout time immemorial, you've got peaks and valleys. And any month, any week, any quarter could be up or down for a whole variety of reasons that are unpredictable.
Michael Leven: Robin, let me just say this. Sequentially, we have gone up every quarter. For the second quarter of '10, third quarter of '10, fourth quarter of '10. And on an adjusted basis, we've gone up every quarter, on an EBITDA basis, normalized basis, so far. So are you asking the question as to whether we'll continue to go up sequentially? I think a lot of that depends on seasonality. If you're dealing with the Chinese New Year, you're dealing with the Golden Week or whatever, at the levels of occupancy and the levels of play that we have, which go up. It still makes it somewhat difficult on a sequential basis the comparison based on how many holidays, how many situations, that all I'm saying. But theoretically, we have gone up practically in the last 4 quarters, every quarter. Remember, you started with a very low base, and now we're getting to a much higher base.
K. Kay: Robin, we're at 54.6% last quarter at December 31. We're at 54.6%. When we run through the numbers we get to something very, very close to that on a hold adjusted basis for this specific quarter. It might be slightly down. We talked about the $11 million charge. There's nothing whatsoever in our business that makes us believe that margin is going to decrease on a percentage basis unless we grow the Rolling business at a higher rate than we're growing it out right now. Either percentage of the mass business and the hotel on the retail, which will all grow margin.
Sheldon Adelson: Because your margin on the rolling is a 31% margin. So if you grow the Rolling business, you're going to end up, your margin may go down, but your [ph] EBITDA is going to go up.
Robert Goldstein: But you're also going to grow the master. The master will continue -- hopefully moving in directions going here. So those margins should stay in mid-50s and that should provide the fuel to drive the whole profit. It shouldn't diminish, it should increase.
Operator: Our next question comes from the line of Jon Oh with CLSA
Jon Oh - Credit Agricole Securities (USA) Inc.: Just a question on Singapore again. The hold adjusted EBITDA for this quarter was about $311 million. And if I recall correctly the fourth quarter call, Sheldon, you kind of mentioned that January was a pretty strong month with EBITDA of around $110 million. How should we go about thinking about the contribution of EBITDA from February itself, which is the Chinese New Year impact?
Sheldon Adelson: I don't know, I don't know the figure. But just recognize that there are peaks and valleys in everything in nature. Nothing goes straight up, nothing go straight down.
Robert Goldstein: The play was there and the hold wasn't on the high end. And it's just that on the mass side, it was a consistent 23.5% run. Had we held our luck here, Feb would much stronger than it was. The volumes are fine, but luck there wasn't on there on the rolling side.
Sheldon Adelson: I just want to point out that we picked back up from $8 million roll to $10 million roll and from the fourth quarter of '10 to the first quarter of '11. So we've come back to where we were at the highest quarter in 2010. Look, this is a market that's going to continue to grow. There is nothing predictable, nothing predictable whatsoever that will have a negative impact on percentage, and what really counts is how many dollars you could put in the bank, and the teller at the bank doesn't qualify his acceptance of your deposit based upon the percentage of margin that you experience. He just says, "Give me the money. I'll put it in your account. That'll be that." But there is nothing predictable out there. We don't see anything that will change any of the trends, and I'd like to say that we all feel quite good decisively and unequivocally that this is a very unique market in the world that the South Asia and the contributions from what may not be considered South Asia, Southeast Asia, like China, like Japan, like Korea, have been contributing a lot to the high end of the market itself. And we see no reason why that won't continue to grow. We continue to see people coming out of the woodwork at all levels, at the initial $100,000 level and at the $5 million and $10 million increased levels. They come out of the woodwork that some of them we didn't know before, some of them we have been trying to get as customers, and we're achieving that now. We don't see any trough of any significance coming into our future in increasing the business. So when you're talking about -- there are people saying give or take $1.5 billion EBITDA coming out of Singapore, you're talking about very substantial amounts of money. Pretty soon, Singapore will deliver more EBITDA than the entire Las Vegas strip has done. So we have great opportunity organically, and great opportunity for expanded growth.
Jon Oh - Credit Agricole Securities (USA) Inc.: Just a follow-up question on receivables. Maybe if you can just help us by giving us a bit more guidance on how we should be thinking about casino receivables in Singapore. I see that Rolling Chip volume has recovered, as you've said, pretty nicely in the first quarter. How should we be thinking about credit standards, and also how are you treating provisions going forward? And if you can share us the amount of casino receivables in Singapore as well, if you have it by any chance.
Sheldon Adelson: Well, I'll answer the first part, and I'll leave it to Ken and Rob to answer the second part. The fact that we're doing -- that RWS is giving -- is probably going to have a lot more roll, maybe twice the roll that we had. So it indicates to you 2 things vis-a-vis how they get the roll and number 2, how conservative on granting credit. We want to be conservative. We don't want to come up with any big surprises on the negative side because we gave out too much credit and too recklessly. We're extremely conservative on granting credit. We're extremely conservative on collecting credit, and on putting aside reserves. We're in this for the long term. We're not in it to make profit to create a tremendous impression for 1 quarter and forget about the future. This is -- we're riding a very solid horse here, and we want to keep that horse strong. We're feeding it, we're grooming it, we're taking care of it. And we expect that it will just continue to grow on a prudent and conservative basis.
K. Kay: It's Ken. We've got about, from a receivables standpoint on a gross basis, about $360 million of receivables. We've got about 13.5% reserve against that, which I think is conservative, as Sheldon had mentioned before. I don't see that necessarily changing much. I think we've done a very good job of being conservative. With regard to granting to credit; we've done a very good job with regards to collection of accounts outstanding. And we think that we're really in good shape from a receivables standpoint.
Jon Oh - Credit Agricole Securities (USA) Inc.: Ken, just to quickly -- just to doublecheck the $360 million, that's in U.S. dollars, right?
K. Kay: Right.
Jon Oh - Credit Agricole Securities (USA) Inc.: And that's purely just for Singapore?
K. Kay: That's correct.
Jon Oh - Credit Agricole Securities (USA) Inc.: Would you also be a able to share us the number for Macau?
K. Kay: Happy to.
Sheldon Adelson: Macau is mostly junket reps that churns over every month, every 30 days.
K. Kay: So it's a different environment because of the fact that Sheldon mentioned, the junket receivables turn over very rapidly. So we've got, in total gross receivables, casino receivables from Macau, we've got about $260 million balance.
Sheldon Adelson: That could change tomorrow significantly.
K. Kay: And a 27% reserve against that balance.
Robert Goldstein: Correct. It changes everyday.
Jon Oh - Credit Agricole Securities (USA) Inc.: And finally, any quick updates on the hotel, the Shangri-La Hotel, which dropped out from sites 5 and 6? Any announcements? Or if you could share with us some of your latest thoughts on your plans for that.
Michael Leven: Like I said to Janet Brashear before, you may have missed the answer. We're in the final stages of negotiation with 2 international brands, 1 for the Shangri-La and 1 for the Traders site. Most likely, that'll be completed in the next couple of weeks. We've had all the visitations and have all the material in on our side and on their side, and we'll probably have an announcement by the end of this month, I would say, to give us a little leeway to do the negotiations we have to do. And we will then have 5 and 6 represented by 3 major international companies, all with heavy presentation in the Chinese market. That's our goal there. And we will manage those 2 properties ourselves. The Sheraton properties, they will manage as previously done. There's been no change in that scenario.
Operator: Our next question comes from the line of Larry Klatzkin with Klatzkin Advisors.
Lawrence Klatzkin - Jeffries & Co.: Just looking forward, you're finishing your Macau property, you're getting the hotel open in Bethlehem. What's next? Sheraton Florida, looks like it's still there filling down, Massachusetts, possibilities in Asia. Can you talk about where you might be going next?
Sheldon Adelson: Well, we're hoping that notwithstanding all the tragedy that's occurred in Japan that we have -- we're hoping or we have some reason to believe that they understand they've got to do what they can to accelerate or to reinstate their reputation as a good tourist destination. So that may be a blessing in disguise, vis-à-vis liberalization of the gaming laws and allowing IRs to be put in. And of course, we're -- everybody says, we're the leading candidate there. I heard Steve Wynn recently said that he didn't think that Japan would be a very good place to attract people to. But bear in mind, Japan, for time immemorial has had these issues. And there have been earthquakes and tsunamis there forever. We just had a team of people over to Spain. We are continuing to lay the groundwork for that. We have constant meetings about planning and programming that illustrates and then allocates to each of the properties. We've talked to builders. We're in discussions with both the governments and land acquisition both in Madrid and Barcelona, and it's not a Spanish development per se. This will be a development where the primary market is all of Europe. Western Europe, the former Warsaw Pact countries, western former Soviet Union countries, even into Moscow and St. Petersburg, down to the Middle East, Turkey with 85 million people and North Africa. Nobody's talked about North Africa. There's a lot of haves there, and there are far more have-nots. So we hope that North Africa will help to fatten up the market there. But it's for 700 million, 800 million people in the catch rate areas. So it's not just Spain. And we're moving forward on that. We're not ready to break ground. We don't have the grants and incentives finalized yet, but we're in heavy discussion.
Lawrence Klatzkin - Jeffries & Co.: And as far as Asia goes, Taiwan doesn't have the translation system that you need? It doesn't work?
Sheldon Adelson: What? Taiwan. Surprisingly, about Taiwan, Taiwan is still considering the islands. In the Taiwan strait based upon my age, we used to call it the Formosa Strait. I'm not sure that we want to go to Kinmen or to Matsu. Prudence would have us look for some sort of assurance from the Chinese government that they'll keep the visa flow open. And since Taiwan is not yet a Special Administrative Region, SAR, I'm not sure what the attitude will be from China in keeping the visa spigot open. So without some sort of assurance, it will be a tough decision to make vis-à-vis the islands. We're advocating keeping it on the Taiwan mainland. Although there's only 24 million people there, it would be a phenomenal, very, very self-supporting IR in Taipei or Kaohsiung.
Lawrence Klatzkin - Jeffries & Co.: And how about Massachusetts and Florida?
Sheldon Adelson: We're still looking at those. If Massachusetts allows 3, 4 casinos; Rhode Island is considering converting it into [indiscernible] (1:17:18) into full-fledged casinos, the 2 -- the [indiscernible] (1:17:23) and Mohegan Sun in Connecticut. It's still there. It all depends where they allow them. I think with 3, there might be too small of a market up there. So we may not justify the kind of money that'll have to spend to show our best to flex our muscles the best. Florida, it all depends. It's still up in the air. A subcommittee failed to pass it or a committee failed to pass it and I think it's being put over to next year. And the same thing in Texas. We don't have any approval yet in either Texas, Florida or Massachusetts, but we're keeping a close eye on that. The big, big activity -- I think the United States is getting too diluted in terms of too many casinos in too many states. I remember the days when there were too few casinos and too few states. Now the pendulum has swung the other way. There are too many casinos in too many places, too many casinos with slots and the possibility of Internet gaming that could potentially have a negative impact on the brick-and-mortar casinos.
Lawrence Klatzkin - Jeffries & Co.: I look forward to your next big project.
Sheldon Adelson: Thanks. We, too. We're very excited about it. We're gearing up. We're developed. We're stepping to do this project in Spain.
Lawrence Klatzkin - Jeffries & Co.: The last question would be, and again, I don't know if -- I might have missed you answering this. The apartment sales in Macau?
Sheldon Adelson: Again, we don't have anything final. We are leaning upon what the Macau government wants to do. I'm sure we're not leaning on them. We're relying upon them. We're not doing anything to -- we're not taking any drastic, except to tell them how it's how good it's going to be in. Again, I hate to repeat it, but we have reason to believe that the possibility of approval may be closer than farther.
Sheldon Adelson: Next time, you should be first, Larry.
Operator: Our next question comes from the line of Steven Kent with Goldman Sachs.
Steven Kent - Goldman Sachs Group Inc.: I guess I just wanted to go back to an earlier question by Mark Strawn, who talked about the impact of -- I think he was trying to get to in Vegas that maybe the cash customer activity and the decrease in promotional activity may have impacted the hold in some way in that market. And then on Singapore, similarly, on the hold percentage, is it that Resorts World is, as you said, is buying business. Is that impacting your hold because it's reducing the length of play?
Robert Goldstein: Steve, it's Rob Goldstein. In Las Vegas, we have seen no impact on the hold percentage. We just have a lot of wonderful amount of Asian business and they just kept winning. It's that simple. And in fact as we said, for us promotional activity has no impact whatsoever. As far as Singapore, what RWS does, in fact, [indiscernible] (1:21:06)as far as our view is, we didn't hold them [indiscernible] (1:21:12)at this points it's not usually significant. Obviously, it impacts the EBITDA. But again, there's no impact whatsoever on RWS activities on hold percentage. We have lots business. We played many hours. One of the great benefits of the Asian customer is they tend to stay and play a long time. If you stay and play, you get lucky. That's the simple fact that works in Las Vegas as well as in Singapore.
Sheldon Adelson: It's the principle of the law of averages that the hold percentage is a matter of luck.
Robert Goldstein: And one thing you should know, we've been doing this for Las Vegas for better than a decade. Our cumulative hold percentage in Las Vegas on Asian baccarat play exceeds 27%. So if you're patient -- sometimes you play lucky, sometimes you don't. At the end of the day, we're pretty confident the volumes in Singapore and the volumes of this company, it's pretty obvious at the end of the day, it all works out just fine.
Sheldon Adelson: We cut back on the comps at the slot end of the market by raising the threshold. We haven't eliminated the comps. If the thresholds for people who qualified for the comps were too low, so I raised them up to the point where they're profitable now, where the profitability was questionably few. But the percentage of hold has an impact to slot hold. It impacts the table games hold. So the comps, the increase or decrease in the allowance for comps doesn't have any effect whatsoever on the hold number. And besides, hold can only be adjusted by luck, by the law of averages. That's all. There's no other way to it. If there's any other way to increase the hold, believe me, we'd be out there chasing it.
Steven Kent - Goldman Sachs Group Inc.: But, Sheldon, it's also length of play as you pointed out over the years, in the past and your competitors have pointed out. That's why I'm asking is either one of these activities reducing the length of play? And I guess, the answer is it's not.
Sheldon Adelson: No, absolutely not. There's no way that we would going to cut back on comps where there's the potential for somebody who's going to play a long time or a short time or where the threshold of probably of theoretical winnings.
Steven Kent - Goldman Sachs Group Inc.: But they might go another casino if you are not offering them the same amount.
Sheldon Adelson: No, no, no. We're offering the same. The point, Steve, is that we went down too far on the threshold. That's all there is to it. And it was almost completely on the slot side and not on the table
Robert Goldstein: Steven, this is all baccarat driven. These guys aren't impacted by it at all. We have no comp issues in the high end -- the Asian customer who comes to Las Vegas Las Vegas didn't suffer at all as far as any of these decisions. It's not impacted. It's not even related.
Sheldon Adelson: The big decision on comps to the Asian baccarat player is do they got a 5,000 square-foot suite or are 9,000 square-foot suite. [indiscernible] (1:24:15).
Operator: Our next question comes from the line of Cameron McKnight with Buckingham.
Cameron McKnight - Buckingham Research Group, Inc.: Just very briefly on Singapore, Sheldon. I mean, the mass market trends that were evident in the results I thought were pretty strong with mass revenues per day up 7% sequentially. Can you give us some brief thoughts on the depths of that market and whether you're finished penetrating the mass market there or are you seeing the market overall has got more to run?
Sheldon Adelson: Mike has said that he's got some figures at only 3-point some percent.
Michael Leven: You're talking about the market in general, right?
Cameron McKnight - Buckingham Research Group, Inc.: Singapore mass market.
Michael Leven: You're not saying Singapore, you're just saying the Singapore market for us. So I think your point is -- look, the numbers are staggering. If you look at the slot, we've gone from the first full quarter, which is Q3 '10, from the slots we won about $79.5 million, then we jumped to $96.7 million and jumped to $108 million. Until we get to $120 million next quarter, I believe we can. I believe we can keep going. The penetration in that market, we don't know because we don't know how big that market can get to, but I think it's safe to say talking to Andrew and Mark and the guys who run that business everyday, we have total confidence that the growth is ahead of us. Is it going to be 5%, 6% per quarter? 8%, 9% per quarter, I don't know. But the growth isn't over. From the mass table side, I think it would be more compelling there in terms of -- we're seeing -- the growth there tends to be both for the Singaporeans and visiting tourists. And that really gathers more strength and becomes the preferred place, the place we want to go to. I think our Table business will continue to ramp. The good news is the whole percentage stays very fat probably at 22%, 23% range because to the comment earlier in Steve's call, they play an awful long time. They don't leave the table. The appetite for extra strategies is very, very small versus American customer. So I think our table business there will still ramp up. Again, this will grow to -- cumulatively, we believe the market can grow -- easily we can see 1 8, 1 9 next year as a cumulative mass slot and table. I believe that's unprecedented -- my personal belief, they can grow to 1 8, 1 9 next year in 2012. I don't think it's slows down. And if anything, as you see, Singapore visitation which is off the charts at 26%, 28%. We're the beneficiary of that visitation. And they're working hard on their tans in the [indiscernible] (1:27:10) district. We've got this wonderful building. We've got the [indiscernible] (1:27:14), the Disney show, the retail is superb, the restaurants are spectacular. So why would we keep getting our fair share with that ever growing double-digit growth in the visitation. I think we're going to dominate the mass table slot market for a long time, and we're very poised to do that. It's a wonderful problem to have.
Cameron McKnight - Buckingham Research Group, Inc.: Rob, what was the -- can you talk to the percentage of table drop in Vegas that was accounted for by high-end baccarat play in the quarter?
Robert Goldstein: Roughly, our business breaks out -- one reason on the call, we talked to you about how to break it out. About $280 million roughly of our drop was baccarat-driven. Of that, 90 plus percent Asian play. I mean, we're an Asian house in baccarat business here, guys, as are the better hotels in town. And we can take more than our fair share, I think, in terms of -- because of our presence in Asia. And it's just so simple; you play bad, you play lucky. Lots of the wins called, they played very lucky. It was great. They had 30 points. I can guarantee the majority is driven by high-end baccarat, and we didn't play lucky. We'll see how the business does. When it's all said and done, we'll hold our 27%, 26%, 28% on that segment. I'm not the least bit concerned, and nor should you be.
Operator: We have reached the allotted time for questions. I'll now turn the call back over to management for closing remarks.
Sheldon Adelson: Well, the only thing I could say -- this is Sheldon. The only thing I could say is that we're extremely excited about being the most successful company in the history of the lodging, hospitality, gaming industry, that the expectations that we'll hit $3 billion plus in EBITDA this year. And some people are saying that we might hit -- some of the analysts are projecting we'll hit $4 billion. I can't make any comment about in 2012. I won't make any comment about that, but I will say that we feel quite confident that the $3 billion mark will be breached. We'll expect to go somewhat over that. And again without providing guidance, we're very optimistic. 1 month of "Whoa hoo!" doesn't make a year. But think about having the entire Las Vegas strip resident in 2 casinos and we split that up. When the Singapore government rightfully does finish its investigation about junket reps, and we'll see how that comes out. In the meantime, we're being very conservative, but we earned $1 billion in EBITDA in our first 12 months. And I want to remind some of you guys that some of you were projecting that we're going to make $300 million. And I think the average of the consensus was about $500 million. So we made $1 billion while we still weren't ramped up. And there isn't anything in the future that anybody could see that will cause a diminution of this way to go. So we're very happy about it. I want to thank everybody for their vote of confidence in us. And we look forward to the current quarter, giving you an even more profitable quarter. So thank you for calling, and that's the end of the call.
Operator: This concludes today's conference call. You may now disconnect.